Operator: Ladies and gentlemen, and welcome to the Century Aluminum Company First Quarter 2021 Earnings Conference Call. My name is Bethany and I'll be coordinating your call for you today. [Operator Instructions] I will now hand the call over to your host, Peter Trpkovski. To begin. Peter, over to you.
Peter Trpkovski: Thank you very much, Bethany. Good afternoon, everyone and welcome to the conference call. I am joined here today by Mike Bless, Century's President and Chief Executive Officer; Craig Conti, Executive Vice President and Chief Financial Officer and Shelly Harrison, Senior Vice President of Finance and Treasurer. After our prepared comments, we will take your questions. As a reminder, today's presentation is available on our website at www.centuryaluminum.com. We use our website as a means of disclosing material information about the company and for complying with Regulation FD. Turning to Slide 1, please take a moment to review the cautionary statement shown here with respect to forward-looking statements and non-GAAP financial measures contained in today's discussion. With that, I will hand the call to Mike.
Mike Bless: Thanks, Pete. And thanks to all of you for joining us this afternoon. If we could just flip to Page 3 please. Before we start on the review of the quarter. I'd like to just provide brief overview on our various efforts supporting advancing the sustainability of our business. Hopefully at this point most of you have had a chance to go through our sustainability report. If not, it's up on our website. So I encourage to have a look, when you have a couple moments. First, those of who have long followed the company and well familiar with our focus on safety and this will remain our highest priority. Our new Corporate Safety Director has made great progress reinvigorating our systems and processes. We're now engaged in delivering enhanced safety leadership training to all the US plants and the early returns are really encouraging. We'll have a lot more to report to you as we go forward. In addition, we're making good progress on our various decarbonization efforts. As we reported to you back in February, we're in discussions with multiple potential customers regarding our low-carbon Natur-Al product and followed the agreement that we recently signed with Hammerer Industries. In addition, again as we discussed we're looking very closely to adding billet casting capacity at Grundartangi and this development would allow us to provide the European market with much desired green billet. As you also know, we made recent investments at Sebree to enable us to buy scrap from the market and we process it. We're seeing increased interest from customers looking for recycled content in their billet. And we're now looking at incremental scrap processing capacity at Sebree as well as on Mt. Holly as we turn that plant closer to its full capacity. I'll talk about Mt. Holly in just a couple moments. We've also made good progress finalizing the terms for the solar field to be constructed by a third-party that will adjacent to Sebree. As a reminder, we'll be the sole contractual offtaker [ph] and thus enabled this investment. This is really exciting for us for multiple vantage points and we intend to pursue similar structures. Bottom line, a lot of exciting stuff going on and we look forward to updating you regularly. In just couple of minutes, Pete will provide some detail on the industry environment. But let me make a couple of points just to put the rest of my comments into context. Conditions in the sector remain favorable for multiple vantage points. Global inventories are now falling that's including China as you've seen with the data. Stocks are now at their pre-COVID levels and are historically tight especially when considering the pace of current demand. Forecast for the next couple of quarters basically balanced global market when we potential upside as the pandemic continues to abate especially in developing economies. We're obviously closer than watching the supply side. The current metal price provides an environment for consideration of potential capacity additions. However in most of the western world we think it's very unlikely that we'll see agreed to projects. We believe the industry is learning lessons of the past. Inclusive to small research or more likely perhaps than closures either ones that have been announced or that are being contemplated. But we're confident these would be likely be around the edges. Goes without saying, swing factors remains China, that market is currently just in balance if you look at the data. They're reporting some months and not others. We've obviously seen the discussion of a major policy shift driven by the Central Government's climate goals and we do believe that legally we have the capacity that puts provinces above their emission targets. We need to decrypt sale before new capacity is added. Hard to note at this point exactly where all this shakes out, but we do think this development will put some Governor - raise net capacity additions in China. Again, Pete will give some data in just a moment. Just to move on, we've made good progress on the operations during the last couple of months just to give you couple examples. As you remember, we suffered two major equipment issues at Hawesville during the last days of December. One with the freeze up caused by some very cold weather and the other was, the failure of some key high voltage equipment. These events resulted in loss of some production and in addition, we took a number of sales offline in February and March to mitigate and further risk and importantly to hasten the plants return to stability. That stability was achieved in early April and we're now in the process in bringing all the sales back online, get back to full line operations. We're also completing some maintenance projects and to providing further long-term stability to the plant. We also reached the agreement with the local union at Hawesville that was ratified by the membership on the 16th of April, five-year labor contract provides good stability for the plant. We've got great young workforce at Hawesville just require some extra near-term effort and investment in training and skills development, that said we're really encouraged by the potential of this group. At Mt. Holly, the new power contract is approved by the Santee Cooper board as well as by the appropriate state authorities and the contract commenced is schedule on 1st of April. As a reminder, three-year deal goes through the end of 2023 and it gives us the opportunity to build back the 75% of the plants' capacity and gets some very much needed high quality billet back into the US market. It also gives us the chance to work with Santee Cooper on longer term structural alternatives to power supply. As a reminder, we've been talking about this for quite some time no sales at Mt. Holly have been rebuilt since 2015 and thus sales constituting that entire 75% of production need to rebuild. This process is well underway and Craig will remind you the schedule for the forecast spending as well as importantly the incremental production we see coming on later in the year. We're really excited to be bringing back this capacity at a time when market demand is so robust. Those of you know Mt. Holly know - reputation it's a high quality billet producer and we're convinced customers are anxious for the incremental supply. As we ramp up gear to the year, we have more billet casting capacity than we currently have, hot metal production obviously. And that's we're being opportunistic and buying some scrap and primary metal to melt and mix with Mt. Holly's owned prime in order to begin to deliver incremental production to the market as quickly as possible. Lastly, very quickly Craig will take you through the specifics of the recently completed debt refinancing, so I won't go into any detail here. The rationale was obvious to lower the company's weighted average cost to capital. And also came with its increased in current cash interest expense with linked in the maturity and increases the company's near-term liquidity. Of course the company's put - otherwise improved market we began in Q2. This has begun to realize recent metal prices and Craig will give you detail on this and our expectations for cash flow in the coming quarter in just a moment. And with that, I'll give it back to Pete for a quick look at the industry.
Peter Trpkovski: Thanks Mike. If we can move onto Slide 4, I'll give couple of comments on the global aluminum market. In the first quarter of 2021, global aluminum was up 16% as compared to the first quarter of 2020 when the pandemic has begun to slow down the economy. In the world, excluding China we saw demand up 5% and in China we saw demand growth of 27%. Global production was up 6% in the first quarter of 2021 as compared to the same quarter last year. However global supply growth was flat sequentially. We saw 10% production growth in China versus the same period last year. But no additional supply growth sequentially. In the world, excluding China we saw 1% supply growth versus the same period last year and less than 0.5% growth sequentially. As demand continues to outpace supply growth around the world. The global aluminum market is now projected to be in balance for 2021. Along with volume stock inventory levels to pre-pandemic levels. The aluminum price looks to reported by strong fundamentals going forward. Okay, turning to Slide 5 please. You can major improvement in pricing for LME and premiums here. The cash LME price average approximately $2,100 per ton in the first quarter which was up 10% or $175 per ton sequentially. Currently, we're the three-year high LME price of $2,450 per ton. In the first quarter, regional premiums averaged $0.16 per pound or approximately $350 per ton in the US up 25% sequentially and $165 per ton in Europe, an increase of 23% sequentially. Current spot price for the US Midwest premium is at a record high of just over $0.26 per pound or approximately $575 per ton on growing demand and tight supply. Prices in Europe are approximately $240 per ton. Finally, pricing for value added products also continue to improve an example here is the US Midwest spot billet prices are also at record highs of approximately $700 per ton. And with that, I'll hand the call over to Craig.
Craig Conti: Thanks Pete. Let's turn to Slide 6. And I'll take you through results for the first quarter. On a consolidated basis, global shipments were about flat quarter-over-quarter. Realized prices increased substantially versus prior quarter as a result of higher lag LME prices and delivery premiums driving 14% increases in sequential net sales. Looking at operating results, adjusted EBITDA was a loss of $19.7 million and we had an adjusted net loss of $52.5 million or $0.54 a share. In Q1, the adjusting items were $92.7 million for the unrealized impacts of forward contracts, $3.9 million for the net realizable value of inventory, and $1.4 million for the historical Sebree equipment failure. Liquidity at the end of the quarter was $90 million via a mix of cash and credit facilities. This amount increased $50 million to $140 million by the end of April. As we forecast on our last call, the Q1 realized LME of $1,940 per ton was up $210 per ton versus prior quarter while realized US Midwest premium up $330 per ton or up $45 per ton over the same period. Realized alumina was $325 per ton or $32 per ton greater than prior quarter. As we discussed previously, the majority of our alumina contracts are priced with an LME reference and the realized prices will track largely in line with lagged aluminum pricing trends. As expected, the negative impact of power price primarily driven by the domestic February polar vortex pricing spike was $33 million unfavorable versus Q4 globally. Realized coal prices of $300 per ton were up $50 per ton or 20% versus prior quarter. These sharp related spending as forecasted at Mt. Holly and slightly lower production volumes drove about $12 million of reduced EBITDA sequentially while a non-cash mark-to-market and stock compensation drove $5 million of reduce EBITDA over the same period. Q1 results came in a bit lower than expected. This was largely driven by market price and non-cash accounting impacts occurring at the very end of the quarter. During the last week of March, our share price increased roughly 20% to about $18 per share causing a sizable negative non-cash mark-to-market impact on our stock compensation plan. Coke and LME linked power began escalating as well. On balance, in totality the linked Q1 market moves are favorable to Century over the mid long-term however the immediate impact to the first quarter was a reduction as impacted to EBITDA. Looking ahead to Q2 specifically, the lag LME of $2,150 per ton is expected to be up about $210 per ton versus Q1 realized prices. The Q2 realized US Midwest premium is forecast to be $485 per ton or up $155 per ton and European delivery premium is expected at $175 per ton or up $35 per ton versus the first quarter. Realized alumina is expected to be $330 per ton or up above $5 per ton versus prior quarter. Taking the effort, the LME alumina and delivery premium pricing books are expected to increase Q2 EBITDA by about $55 million to $60 million versus Q1 level. On power cost, with the Q1 polar vortex related spike behind us, we're seeing a return to more seasonally normal pricing levels. As a result, we expect a $15 million to $20 million increase in Q2 EBITDA from declining power prices quarter-over-quarter. As I noted earlier, in late Q1 we experienced an increase in carbon cost. Notably in petroleum coke prices. We expect realized coal prices to be $370 per ton in Q2 or about $70 per ton greater than the Q1 driving a $5 million EBITDA decrease versus prior quarter. Finally, we continue to make a significant progress on the Mt. Holly restart and the fix on the year end equipment issues in Hawesville. As we discussed previously, Q2 will be our largest investment quarter for both of these projects. This is investment will be partially offset versus prior quarter by incremental reduction in Q2. The net impact of sequentially increased production in project spending will decrease EBITDA by about $10 million. In sum, we expect all of these items taken together linked toward approximate EBITDA increase of $55 million to $65 million from Q1 levels. As we've discussed in the past, we from time-to-time and largely in support of long-term investments manage our exposure to various commodities by entering support contracts. Based on our current spot prices, we expect a $30 million to $35 million realized loss for the quarter on a various hedges in Q2. This result will be below EBITDA geographically and will impact adjusted net income. We continue to call this impact out on quarterly basis as market. Let's turn to Slide 8 and we'll take a quick look at cash flow. We started the quarter with $82 million in cash and ended March with $26 million. A few notable outflows for the quarter included $7 million for CapEx the vast majority of which was Mt. Holly's related and our normal semi-annual no interest payment. Working capital was in outflow of about $12 million driven by increased receivables from higher sales prices on rising LME levels and a modest inventory build to support the ongoing restart work. Shifting gears to Q2 and beyond, in early April as Mike mentioned and as you may have seen, we effectively refinanced our $250 million five-year 12% note which was due to mature in 2025 for new $250 million seven-year, 7.5% note due to mature in 2028. In vision, we further enhanced our liquidity by executing a seven-year $86 million convertible note at 2.75% also due to mature in 2028. From a diluted EPS modeling standpoint, it will be important to include additional $4 million outstanding shares for Century from Q2 onwards. While we can settle this convert and either capture shares at our option, our accounting method will require reporting the new in fully diluted basis. From an interest cost standpoint adding both of the new $250 million note and the $86 million convertible together resulted in annual interest savings of $9 million versus the old note. From an operations standpoint, we continue to make solid progress on the ongoing Mt. Holly restart. As a reminder, we will invest about $75 million over the course of the next two, three years to bring the smelter to a 1.5 line operation which will allow us to produce at 75% of capacity or about 170,000 tons per year. This project will be completed in two phases. For phase one, which occurs throughout 2021 we'll invest about $50 million of restart capital over half of which we'll be spending second quarter and expect total year production of about 140,000 tons as we ramp up the facility. This outflow will be about 20% greater than 2020. By the end of 2021, Mt. Holly will be running the full 1.5 line complement. Phase two begins in 2022 and the remaining $25 million of capital will be deployed through build continuously operating legacy components which will be beyond their useful lives. We expect 2022 and 2023 production to be around 170,000 ton per year level. Finally today, I'd like to provide some perspective on what second half of 2021 will look like for Century at current spot prices. As both Mike and Pete detailed earlier, the conditions in our industry are favorable and Century's ability to add capacity particularly in the US is a key differentiator for the company. Using the revenue and cost by the - detailed on our last call adjusted only for the reduced interest cost from our refinancing provides a good look at the earnings power of our busies at current spot pricing levels. At the spot LME of $2,450 per ton and spot Midwest premium $570 per ton Century will generate about $270 million of second half 2021 EBITDA and above $160 million of second half 2021 cash flow. This concludes our prepared remarks thank you for your time and attention. I'd like to turn the call back over to Bethany to begin the question-and-answer session.
Operator: [Operator Instructions] the first question comes from David Gagliano from BMO Capital Markets. David, your line is open.
David Gagliano: You're telling a lot of things there, that's very helpful, I think. But some of them, pretty quickly, so I'm going to try and just hone in a couple of - just I guess on the hedges. There's some disclosure in the 10-K about the hedges and I know it was referenced kind of passing out I would say on the last call. And I was only - if you could just give us a little more information on when hedges were put in place, how much you have hedged as of now both on LME and Midwest premiums? Duration of those hedges? And in terms of the cash flow comment for the second half, the $160 million? Is that before or after hedge and is that a free cash flow number before or after hedge and what is the hedged impact associated with that number?
Craig Conti: Okay, David. This is Craig. I understand the question. I'm going to start with the back half first and then we'll go to the beginning. Okay. So when we look at spot prices today, again just so overall we're in the same page that 24.50 of LME, that's 570 of Midwest premium. Right? So to go back to what we said on the call, that's 270 of EBITDA for the second half for the company and 160 of total cash.
David Gagliano: Free cash flow?
Craig Conti: Free cash flow, right. To answer your question, really to recommend that 160 does include the impact of hedges. Now when we go back and you think about - when you think about how to use that go forward. We'll be putting appendix our sensitivities which will allow you to do, which we've only done in terms of sensitizing the business for losing commodities for EBITDA, also for cash. So what you would do for the second half of the year, is start with the concept that I just gave you and you could sensitize that impact for any market assumption that you want to make. Now let me go back to the first part of your question. You're correct, it is disclosed in our K and it will be there again in our Q. When we talk about what we're doing for the company, we have three commodities that we're talking about. The first is LME, well four I guess if you include FX, which I will in this explanation. So you got LME, you got Midwest premium, you got Nord Pool and then you've got the Euro, right. So our LME hedges are primarily to support the loosening of our Nord Pool cost to an LME linked contract. We've talked about doing that. We've done that sporadically over the last year in half. So that's one part of the LME. The second part, of the LME is when we take a fixed aluminum cost and link those synthetically to an LME price. We would do that - buying, selling, alumina's and then also selling forward, the LME we talked about in the past as well. That's the LME portion. Our Midwest premium that's majority of that is in support of the Mt. Holly restart that we talked about on the last call. And then of course Nord Pool the other side of what we talked about at LME, we view that to LME predominantly for 2021 for 2022.
Mike Bless: David, its Mike. We'll let you redirect. But let me add one other comment that maybe helpful on Craig walk from the second half EBIT. It's about 270 down to your point A; free cash flow being net of hedges as spot prices of course of that delta there. The 270 down to 160 about half of it is the hedge in fact and the rest is just normal stuff that comes between EBITDA and free cash flow. CapEx, interest expense, small amount of taxes we pay in the US, normal taxes in Iceland, that kind of sort normal.
Craig Conti: Mt. Holly.
Mike Bless: Thank you. CapEx, Mt. Holly spending all that stuff.
Craig Conti: Those items to round that up, those were the same items that we talked about in the last call at pretty much the same level. That help you?
David Gagliano: Yes, it helps. Thank you very much. It's helpful. Just to drill down a little bit further. I see the 10-K according as of December 31, 2020 194,000 tons sold forward, I guess at fixed pricing on LME contracts and then, 318,000 tons on Midwest premiums and those contract expense on the LME through December 2024 and Midwest premium I think extend through December 2022. So my question is, so obviously the expense out there. How much is hedged for this year versus the out years and are you continuing to hedge and have those numbers increased now that it's April or May, whatever? So we'll get disclosure for March. But what are the hedged positions as of now and how do they flow through in the next few years?
Craig Conti: Let me get to the first part and I'll turn over to maybe the second part on go forward to Mike. So when we are looking at the difference between LME and the Midwest premium hedges. But let's start with Midwest premium so 318, was a correct number that came off K, maybe a little bigger in the Q you'll see it. But again the Midwest premium, the vast majority of that was for the Mt. Holly restart. We sold for their production. Now let's go back up to the LME and I think the crux of the question is why aren't those numbers more similar? The reason for that is, when we sold forward the LME to protect the Mt. Holly investment, we sold that forward on physical basis. So that's going to transact outside of our hedge book. So that's why it appears there's a little bit of mismatch there. So the part that we sold for physically for Mt. Holly is already captured in EBITDA sensitivities and it's not going to captured in the hedge book.
Mike Bless: Again, David just to maybe infer on your question, in a perspective basis. I think Craig hit it on a perspective basis. I mean all that stuff that he described the hedging that protect Mt. Holly spend. We also did sell them Midwest last year just to seeing a sort of COVID was anytime certainty. But perspectively [ph], if we're going to be most likely selling additional LME. It's going to be for the purposes that Craig described that we've been talking about for some time. If we can land the Nord Pool price in relationship to the LME prices such, we can book a second quartile or better power cost when we power cost, we mean power price as a percentage of LME. Slowly and gradually but we're going to continue to do that and then same thing on the ala side. Although as Craig has told you before, basically set for ala in 2021.
David Gagliano: Okay, I'll turn it over to somebody else. Just if I can just really quickly, is there way just to give a percentage of framework of how much you planned a hedge relative to your total volumes as you go forward?
Mike Bless: That's a tough question. In the Nord Pool and the Nord Pool amounts don't aggregate to a whole - you're not selling a lot of metals create that position.
Craig Conti: But on the Nord Pool obviously we talked about last time, that's 80% hedge for 2020.
Mike Bless: Yes. That says not much pick on there. On ala in 2022 it's kind of tough to answer that at this point time. It depends what the ala market looks like during the mating season in the fall and everybody negotiating alumina contracts and what kind of percentage LME contracts are available, if any and where the API is and all that kind of stuff. Just one other comment here. In consistent with what I just said on Nord Pool and sorry to pull [ph] it, David and alumina, the real vast majority of what's on the books right now as you're seeing and that Craig talked about relates to Mt. Holly. I mean, frankly just thinking about it that kind might help you get to your question on. I don't know if we answered it full enough. Around when the hedges were put in because as you guys, as you know we do know whether we have a new contract or not for Mt. Holly and so sometime, kind of mid-ish December so definitely wouldn't have been before then and then we signed it up and we were in that transition period before we finished documentation for new contract that I talked about couple minutes ago. So that's kind your framework pulling a lot of that LME got laid in. He might be gone.
David Gagliano: Okay, thanks.
Operator: The next question comes from Lucas Pipes of B. Riley Securities. Lucas, your line is open.
Lucas Pipes: Lots of moving pieces there. I would in spite of proceeding discussions. I'll try to take another stab kind of pick a real high level view that, just kind of maybe if you look out to 2022. Could you give us a sense for what EBITDA and cash flow would look like with those assumptions? I think it was 2001 [ph] and 50 for LME and 470 for the Midwest premium.
Craig Conti: Yes, so I think EBITDA would be relatively easy. When you get the cash flow especially when we were talking about hedge book. It will be truly different 2022 to 2021. So I wouldn't attempt that. But I think using your items today. If we have 270 of EBITDA back half of this year and we're running at very near our capacities especially with the restart work that's going very well in Hawesville in Mt. Holly you can double that, that will give you a 12-month running average for [indiscernible] Lucas.
Mike Bless: The other thing I would note Lucas, I agree with Craig's comment that is in the starting point, it generally get better. Obviously subject to other items like coke prices, that's small potatoes in the grand scheme of things. The other thing is the difference between EBITDA and cash flow. I'll just say it in plain English. The impact of the hedges will be much less because Craig said the vast majority of the big chunk LME and the vast majority of Midwest as David Gagliano correctly cited, I should say from the disclosure in the K, most of that is in 2021 and starts to come off in 2022. So that delta there is between EBITDA and cash flow, the delta produced by the hedge system shrink up meaningfully.
Lucas Pipes: That's helpful. I guess what I'm trying to get at is, if I understood you correctly both EBITDA and cash flow are reflecting the impact of the hedges and so what I'm trying to get at is, in the world with no hedges what would EBITDA and cash flow look like?
Mike Bless: Right, answer is the same. That what we just said, so irrespective of what hedges reflect where, the bottom line is the answer what we just gave you is the right answer. But now Craig talked about the fixed price contract. Let's call in where they some reflect “in EBITDA”.
Craig Conti: Right.
Mike Bless: Meaning they go through cost of sales in some are sales in that, gain or loss in forward contract.
Craig Conti: Yes, I think you just gave the most if it there. But look at the double down on that right is, all will go through EBITDA at this point that wouldn't hit that hedge impact line if you will, walking the total cash and my comments from earlier would be the Mt. Holly revenue piece. So to think about what the size is, we talked about 140,000 tons this year getting to 170,000 then 170,000. We sold forward the majority of that and I think Mike gave a timeframe for about what we sold that forward so, that will become in through EBITDA. Everything else that we talked about though Midwest premium, the LME, that the other side of our LME linked alumina contract. LME and Nord Pool itself and then of course the Euro on those Nord Pool hedges because that's the currency those contracts will settle in all of that will be going through the hedging pathway. Does that help?
Lucas Pipes: That helps. I appreciate that. Thank you very much now. I'll turn to my second question and that's definitely regards to alumina. Obviously, LME has been outperforming alumina price is more recently and just wanted to get your perspective on medium and long-term strategy. Alumina pricing would it be to keep the current format, we think it. Any evolution of your thinking in regards to alumina impact cost?
Mike Bless: Thank you, Lucas. It's Mike. That's a great question and the answer is, I hope it doesn't sound like a non-answer is. Let me give you a short-term answer first and then sort of a more philosophical one, sort of on longer term structural perhaps answer. So short-term it's really going to depend upon market conditions caused in September, October. It's the current - percentage LME contracts don't necessarily price direct reference to then current relationship between the API divided by LME. But it certainly had some reference to it, that influences the market. And so we'll see if to your very appropriate way of saying whether alumina continues to underperform LME or whether to sort of revert to more normal relationship. On a longer-term basis, we still believe that the right way to run this company given our balance of opportunities, the growth opportunities that we have, all the risks that are evident in the business that we face just like every other participant in the business. The size of our company and all the rest capital structure. We still think that running the company not fully but mostly all else being equal on a percentage LME basis, is the right way to run this company. This can be heavily influenced by market conditions each year when the big alumina contracts are struck in the fall.
Lucas Pipes: And they fallen into kind of this commentary maybe back to my area of question. If in the fall LME has continued to outperform alumina, what would this double as by $70 million [ph] EBITDA. Would that still be accurate or will you be looking at much higher level? Maybe aluminum prices get lower.
Mike Bless: Yes, that's a great question. I guess one way to answer it is, yes it would be still applicable. Again sound like a non-answer for which I apologize in advance. If our alumina contracts were of similar nature. But if we were not fixed prices but if we were API price to course then, I think where you're heading is correct. It could be upside. It's all about balance of risk and opportunity. It's like any hedging decision.
Lucas Pipes: But you would have the flexibility to make that decision once again.
Mike Bless: For sure, yes. I'm sorry. That I missed your question. Absolutely, 100%.
Lucas Pipes: Very helpful. I appreciate all the color and best of luck, thank you.
Operator: Your next question comes from John Tumazos from Very Independent Research. John, your line is open.
John Tumazos: From debt reduction, could you give us an idea of the big picture priorities response wonderful alternatives, trying to expand in Iceland? Modernizing or expanding your US smelters, raw materials or building a new smelter or adding power although people seemed to be doing with solar for you, just tell us what your priorities are?
Mike Bless: Thank you very much John and yes, I'll quickly - that is the case and we believe from a capital structure imbalance of risk. We prefer to let the folks who are expert in designing and building, installing and maintaining, running those things doing. It's not our expertise. Building a new smelter would be very appropriately you put it at the bottom of the list. We just without sounding overly enthusiastic but we really are, when we look at the opportunities, we have in the markets that where we have hot metal today and have choices as to how into what kind of product, we cast it. In the markets we serve, there are lot of really interesting opportunities that come with a fraction of price tag of new smelter or even a new pot line to build out our value-added products specifically on use of jargon with apology, fully green or with you know green content i.e. scrap will be processed for our customers or for the general market. And so that's why you're hearing us talk about opportunities at Sebree. Opportunities at Mt. Holly and a very large opportunity at Grundartangi and we think that markets, our customers were convinced interesting and demand for that kind of product is only going to grow and so this is the right time. I think to your point maybe, we've got the capital structure sort of in the right place for the next five to seven years and that serves up pretty well. In terms of the just coming - looking back to your new smelter to maybe scratch that, it's just a little bit. I'll stick with my first answer. But we do have as you know some incremental hot metal capacity that we can bring back on recently alluded our modest investment. And right now, the easiest one meaning, it would only add an additional power contracts is the fifth one at Hawesville, that's a 100% purity line and then, if you know we're hopeful bordering on pretty optimistic that we can find a way to get to that last 100 megawatts of power at Mt. Holly there to bring the eventually not terribly distant future that to [indiscernible] back on.
John Tumazos: So you want to run full and run green in your current assets.
Mike Bless: I like it. We're writing that down now. Maybe we'll put that up on the left side. We'll give you the TM.
John Tumazos: So Mike, if I can ask another and I'm thinking back long-term. I think when I was at DLG [ph], we were co-manager on the IPO at 1995 or 1994.
Mike Bless: That's pre-history.
John Tumazos: There's ancient times when crazy spikes were moving commodities market, different market. My hero Gillian Robertson would short the internet in 2001. It was killing him and in March 2001 he covered his internet shorts and shut his firm down and that was [indiscernible] Nasdaq. I'm thinking of July 2007, when aluminum peaked at $149.7 on the LME around the same day, that crude oil peaked at $150, in Century you should stock around $50 to cover your metal shorts.
Mike Bless: Yes sir.
John Tumazos: I don't know it's fair to blame a little bit of the peak in that aluminum market to covering the shorts. And I don't care about the details of how many contracts you have this week or the 10-K. but could you give us some comfort that Century isn't going to make a top in the aluminum market by covering your shorts and you're not going to have to issue equity.
Mike Bless: That's the easiest question that you or anyone has answered. I think we can give you full comfort. Thank you and that [indiscernible] history. But yes, that's a straightforward, to which we can give a straightforward yes or no. yes, we can give you comfort there.
John Tumazos: So is it your tactic to not hedge anymore or you're going to shell out a little bit of money to close out some contracts?
Mike Bless: I would on first as we said; Mt. Holly was tactical thing, fancy word. And hedge anymore to create second or first quartile, European power price absolutely, all day long. But we don't have to sell a lot of LME to do that structurally. I'm sure you got the math. We close out hedges that's not I think that's not something that we expect anytime you're talking about and I think you should not sit around and wait for that eventuality, the long wait.
John Tumazos: If you just delivered, when would your hedge book be erased right now? If you didn't put on new positions and you just delivered. When would it all go away?
Craig Conti: This is Craig. The short answer is 2024; there is a small tail that goes out that far for LME.
Mike Bless: Very small.
Craig Conti: Very small tail.
Mike Bless: With a mass majority of it and that stuff is just - it must be Nord Pool. Its small potato, vast majority of it is gone in the next six quarters.
Craig Conti: Yes, that's right.
John Tumazos: So Mike, my concern is that politicians are over simulating everywhere and but the biggest fraud in the history of markets near zero interest rates. But they have to keep them down because the debts are graded in GDP and if they paid 5%, they'd all go broke. I'm just worried about things being too strong in the near term and someday it's all going to blow up. But who knows when that's going to be?
Mike Bless: Yes, that's - I mean John - I can't personally pick apart pieces and obviously.
John Tumazos: We know you're going to be right by being conservative. But sometimes if you sell short, you'll do it a year early and you get wiped out before you're right.
Mike Bless: The beauty of it is that, that's not going to happen here because the vast majority of our production is exposed to market prices. So yes, we've got some downside protection. But the vast majority of that upside we're enjoying there. You see it in.
John Tumazos: I was looking at the 2007 chart year stock [indiscernible] a moment ago.
Mike Bless: Thank you for that history. You've got more Century history that I do. I've got only back to 2006.
John Tumazos: It's great to be your friend, thank you.
Mike Bless: John thanks as always.
Operator: [Operator Instructions] we have another question from David Gagliano of BMO Capital Markets. David, please go ahead.
David Gagliano: I remember those times too by the way - I do have a follow-up on the hedges again. My first question really just near-term sell based calibrate [ph]. I just want to clarify one thing. A lot of puts and takes obviously for the second quarter and sort of $55 million to $65 million net increase versus 1Q. But there are also some one off in 1Q. So I'm really trying to play out what's the right starting point for 1Q, is it the minus $20 million or are you talking about excluding from these one-time that happened in 1Q.
Mike Bless: That's very good question.
Craig Conti: Yes, that's a great question. The way I think about that is you know what we anticipate, what's going to happen in Q1 up until the last couple of days in Q1 and what actually happened. So there were couple of things. Number one, that non-cash mark-to-market is going to go away. So that $5 million is in there. I think that's number one. But the other things that happened are going stay. I think we talked about those, LME linked power cost is going to stay. So you're seeing in the second quarter the absence of the Q1 Polar Vortex. Where you're only getting another $5 million that accrued view on top of that for seasonal power prices. And then I think the third piece is something that was trend that really emerged that days Q1 has continually, which are coal prices. Right so there was a $2 million that we saw in very, very end of Q1 which has expanded to about $5 million this time.
Mike Bless: Dave, you're right. There was some bad things that happened in Q1. Craig pointed Polar Vortex with cash of course and share plan mark-to-market is just counting it. There's no cash there up or down and those aren't likely to repeat. So maybe there's some things going at a way. But your point is well taken.
David Gagliano: No, I'm sorry I'm not trying to make a point. I'm just trying to figure out, what the answer is, still I don't understand it. Is it the minus $20 million? I heard of minus $5 million.
Craig Conti: I'm sorry, David.
David Gagliano: [Indiscernible] Q1.
Craig Conti: We were answering something different. Okay. Yes, we would absolutely start with the negative $20 million.
Mike Bless: Yes.
Craig Conti: Negative $20 million build out everything that we went through I gave you all the pieces would be about 55 to 65 increase from there.
David Gagliano: Okay, got it. Perfect thanks and then just a hint. Sorry I come back to the hedge. But I guess philosophically whatever I mean. You talk about sort of hedging LME and first, second quartile and what that could mean for aluminum hedges and frankly I don't know what it means. So can you just tell me what kind of hedged volume you're thinking about on a forward look basis? Again I asked the question earlier but just like a framework, how much do you think you'll be hedging on aluminum rolling forward, if any? Metal and LME?
Mike Bless: Midwest is totally different. [Indiscernible] that's really good. I mean Midwest right now I would say, we look at the four years. But very limited.
Craig Conti: Limited.
David Gagliano: Okay.
Mike Bless: On LME, the only time that you - so on alumina, it's only if you have fixed price alumina contract achieve - converted since LME, our fixed price [indiscernible] is very small. So those will be very small LME ton. Same thing on Nord Pool. I mean if you were to convert the Nord Pool price and so a percentage LME power contract. First and second quartile, which [indiscernible] say tuck-in small contracts into those in the tens and tens of thousands. I want to emphasize one more time, the vast majority of the stuff in the books right now was done for Mt. Holly.
David Gagliano: Okay, thanks. That's helpful. Last question from me, CapEx in total 2021 and early read on 2022.
Craig Conti: Yes, it's about $75 million in total that includes Mt. Holly.
Mike Bless: Of which is?
Craig Conti: Of which $50 million is Mt. Holly. Right, so I would say you will take that $25 million. Now this is, we haven't made a decision just to be really clear [indiscernible] just to make sure answer file for changes in a quarter or two maybe. We already made decision on Hawesville [indiscernible] so let's take that out, 75 for this year, 50s at Mt. Holly. We'll probably view another 20 to 25 next year between sustaining and investment returns of - another 25 coming on Mt. Holly.
David Gagliano: Okay, perfect. Thank you.
Operator: We have another question from Lucas Pipes of B. Riley Securities. Lucas, please go ahead.
Lucas Pipes: Dave just asked, what's left of my follow-up is about the bridge from Q1 to Q2. But I wondered if we can maybe expand on that and go to Q3 from here as well. Obviously provided deal commentary. But this would be helpful to maybe get a little bit of a bridge here given a big move in pricing etc.?
Craig Conti: Yes, I would keep it at a second half level for now. Lucas, I understand the question. I think [indiscernible] little bit more work and see that market return it's been moving really, really quick. As you know, a good place to stick it in ground right is to stay, if we can change the second half outlook, I gave you for EBITDA and cash. It's relatively level loaded between third and the fourth quarter. There's a little bit more incremental production coming out in the fourth quarter as we finish up. Mt. Holly and as Hawesville comes fully back online. But I think divided by two is a good place to start and something with a little more clarity.
Lucas Pipes: Got it. So we have to I think it's a $55 million jump in Q2 versus Q1. To call it $35 million or so - then it goes from there to 180 something, right?
Craig Conti: It would be.
Mike Bless: 270.
Craig Conti: I'm doing the math in the fly here. It would be half in 270 and half of 160, so if my math is correct. That would be 135 in 80 for the third quarter. Given the assumption all else being [indiscernible] that we talked about here. Back to second quarter. The first part of your question [indiscernible] reverse timing. The range is 55 to 65 that we see right now. so 55 would be the low end of guidance and getting back to the end of the question to make sure all clear that adding from negative 20, this is just an EBITDA number adding from negative 20 for Q1.
Lucas Pipes: Got it. Very helpful. All right. I appreciate it and again best of luck.
Mike Bless: Thank you, Lucas.
Operator: We have no further questions in the queue. So I'll hand it back to you guys to conclude.
Mike Bless: Thanks Bethany and thanks as usual. Everybody for tuning in. great questions. We appreciate the dialog and we look forward to being in touch in a couple of months, if not sooner. Take care.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for joining. You may now disconnect your lines.